Operator: Welcome to the Eurazeo 9 Months 2025 Trading Update Presentation. Today's conference will be hosted by William Kadouch-Chassaing, Co-CEO. [Operator Instructions] Now I will hand the conference over to the speaker. Please go ahead.
William Kadouch-Chassaing: Thank you very much. Good morning. Thank you all for joining this call. I'm pleased to welcome you to our trading update for the first 9 months of 2025. To remind everyone, for the trading update, we don't update the NAV that will be done at the end of the year, but I'm, of course, ready for questions you may have on the topic. In a nutshell, Eurazeo continues to gain market share in asset management. We had another quarter of dynamic fundraising and AUM growth outperforming the market. Second, we continue to outperform the market in realizations and distributions, which is, as you know, a key differentiating factor in the current market environment. And third, the quality of our balance sheet portfolio remains strong with healthy operational metrics across the board and realizations confirming our ability to monetize our balance sheet above its carrying value. Let me start with fundraising. We raised EUR 3.2 billion from our clients in the first 9 months of 2025, which is 4% above last year and well above market as global fundraising is estimated to be down this year at about 10% according to PitchBook, you may find as well other sources that will go in the same direction. This confirms our ability to gain market share in a more and more competitive and polarized market. This also highlights the quality of our investment franchises, the relevance of Eurazeo positioning as a focused European mid-market investment platform as well as the strength of our distribution capacities. Indeed, we make progress both with institutional and with individual clients. In terms of asset classes, whilst private debt continues to perform strongly, our private equity franchises have connected well. Private equity fundraising in Q3 was fueled by our secondaries and mandates franchise on top of our earlier successes in H1 in buyout, growth and impact. Our PE fundraising is up 38% year-to-date. Private debt, as I said, had a very good quarter with EUR 800 million raised in Q3 alone, mainly in direct funding. Our flagship EPD VII has already raised around EUR 3 billion in total. On wealth solutions, we raised close to EUR 700 million in the first 9 months, which is 7% more than last year. We just announced that we have received the regulatory approval from the launch of our new evergreen funds in the prime line, EPIC in private debt and EPSO in secondaries. They will support our growth ambitions in Europe. Given our current momentum and pipeline for the rest of the year, we are confident, I should say, very confident that fundraising in 2025 will exceed EUR 4 billion. We continue to expand and internationalize our client franchise, which is a key strategic objective that we had articulated in our Capital Market Day back in November 2023. We added 29 new institutional clients since the beginning of the year on a base of 440. This is a significant number. 74% of inflows came from international LPs in the first 9 months of the year, a share that continues to grow year after year, as you can see on the chart, with notable successes in Asia, Middle East and the rest of Europe. Our wealth solutions franchise also continues to grow at a steady pace with new distribution partners onboarded and already close to 10% of flows outside of our home market for the first 9 months of 2025. Overall, AUM growth and particularly fee-paying AUM growth illustrate the dynamism of our asset management business. Total assets under management were up 5% in the first 9 months, reaching EUR 37.4 billion. Third-party AUM only, which is a key focus of our strategic plan are up 11%. Fee-paying AUM were up 7% at nearly EUR 28 billion with third-party fee-paying AUM growing at also 11%. Let me stress that we believe this is above market growth. The decrease in balance sheet-related AUM reflects the successful implementation of our capital allocation strategy. Management fees stood at EUR 316 million for the first 9 months. Fees from third parties are up 5% overall, excluding catch-up fees and ForEx impact and fees from the balance sheet are down 3% year-to-date due to recent exits and reduced commitments in the funds as per the plan. On private market, we experienced strong inflows, which I just referred to, as shown by the rise in fee-paying AUM. It was partly offset by planned rate step-downs in older vintages that have been venture growth and buyouts. We also have a slight mix effect with strong fundraising from private debt and secondary and mandates in recent quarters, which carry a lower yet healthy fee level. IM Global Partners fees are up 4% at constant ForEx. Management fees from the balance sheet are logically down year-on-year, they are down 3% due to exits and reduced commitments in the fund as said. Let me now turn to deployments and realizations. As a group, Eurazeo deployments reached EUR 3.9 billion over 9 months, which is up 20% from the same period of last year, with transactions reflecting an expanding pan-European investment approach and our focus on structurally growing sectors. We deployed EUR 800 million in Q3 in private equity to support category leaders such as OMMAX, a digital and AI strategy consulting firm in Berlin based in Germany; Filigran, an AI-based cybersecurity firm; and Dexory, a U.K. leader in logistics, robotics and growth. Adcytherix, a developer of innovative oncology treatments and Proteor, a leader in orthotics and prosthetics in healthcare. And in real assets, we invested with MPC OSE in offshore wind farm servicing. Private debt continues to be very active with EUR 900 million deployed in Q3 in a dynamic lower mid-market segment. We are well placed to continue to grasp opportunities with EUR 7.2 billion of firepower, of which EUR 7.2 billion of third-party dry power powder. Realizations for the first 9 months stood at EUR 2.2 billion. Over the third quarter, we notably announced 2 important exits in buyouts. We sold CPK, a European champion in sugar and chocolate confectionery to Fera County Group, a leading U.S. confectionery linked to the Ferrero Group. The transaction returned around EUR 200 million of additional cash to our balance sheet and was concluded at a price above NAV. We also divested from Ultra Premium Direct, France leading direct-to-consumer pet food brand for approximately EUR 140 million, generating a 2.1x gross cash-on-cash return for the balance sheet. These transactions announced this summer have been closed in October. We also stepped-up realizations across the venture and growth funds with 2 important new exits, the German company, Cognigy and ImCheck. Finally, in private debt realization stood at EUR 600 million for the first 9 months. Several deals are expected to unfold in Q4. Together, these transactions illustrate the quality of our investments and our continued focus on generating liquidity and value for our investors and shareholders. At a time when the main focus of the industry, as you know, revolves around distributions, this is, we see a key competitive advantage for future fundraising. So let me illustrate that point, starting with buyouts. As you can see on the chart, the pace of distribution to LPs in the market has markedly slowed down in the past 5 years in a challenging and volatile macro environment. This is a topic for the industry. In this context, Eurazeo private equity buyout franchises have been outperforming clearly. Year-to-date, in 2025, Eurazeo's buyout franchise have already returned 10% of the NAV compared to around 5% for the broader market in H1 according to industry estimates. Looking at the '21, '24-time horizon, you'll find that the pace of Eurazeo rotation was 5 points above market and even 7 points focusing on the balance sheet portfolio only. As you know, the balance sheet, I'll come back to that, has already returned 14% of its NAV. Another positive catalyst, and we think this is a very important catalyst for future performance and the growth of our asset management activity is our proven ability to complete successful exits across the biotech, venture and growth franchises. After 3 landmark deals in 2024 Onfido, Lumapps and Amolyt asset, we've completed 2 important exits in Q3 2025 in excellent conditions. In growth, Cognigy, a German AI-based customer management provider was sold to NiCE, an Israeli American listed company for nearly EUR 1 billion, representing a 2.1% cash-on-cash return in a year our EGF IV fund. This is a remarkable outcome, which brings EGF IV, which has only completed its first closing already at 25% of DPI and 1.15x TVPI or MOIC. That's quite exceptional in the industry where DPI tends to be low. In biotech, our Kurma team sold ImCheck to IPSEN for up to EUR 1 billion if certain milestones are met. The transaction should generate between 3 and 7x cash-on-cash returns and created substantial value for our BioFund vintages, which bodes well for the future fundraising. Let me highlight that we now added the performance of the biotech funds in -- together with the performance of the rest of the fund. Pro forma this transaction, the DPI of Kurma BioFund III now stands at 75%. Let's focus more specifically on our balance sheet rotation. As you know, this is an essential part of our strategy to build an asset-light business model and execute on our promise to return more capital to our shareholders. With CPK and UPD, which closed in October, our balance sheet has realized EUR 1.1 billion of disposals year-to-date or 14% of last year's net portfolio value, already ahead of the total for the full year 2024 and as I said before, much above market pace of rotation. Since the beginning of 2024, we have sold around EUR 2.2 billion of balance sheet assets, i.e., since the beginning of the plan. This is around 27% of the net portfolio value at the end of 2023. We sold these assets at an average premium of 8% on our latest mark and a gross cash-on-cash multiple of 2.1x. Several processes are ongoing and should lead to transactions announced and realized through the end of the year. As you can see, all the exits we've announced and completed in 2025, including the most recent transactions, they are on the green in the bar charts, demonstrate again our ability to sell assets at or above NAV. Let me stress again that we believe this is the best proof point to assess the quality of our portfolio valuation approach and processes. Let me stress also, and this is a very important thing for us, that portfolio valuations only make sense if they are associated with a proven capability to generate liquidity. When you compare Eurazeo, always keep in mind that our DPIs are higher than the average market. Operational metrics of the companies in which our balance sheet is invested through the funds continue to be healthy. The average growth of our buyout companies was plus 6% over 9 months, continuing the trend seen in H1 in spite of a still sluggish and volatile economic environment. In growth, activity remains solid across the portfolio with 15% top line growth on average. Doctolib, the largest investment in this strategy, continues to grow strongly and announced it has already reached profitability in Q3 2025. The most recent investment in Eurazeo Growth Fund IV recorded an average revenue growth of around 37% over the first 9 months of the year, confirming their strong momentum together with the DPI of 25% and value creation in the fund, this bodes well for future fundraising. After years of strong growth, hospitality revenues logically have been stable in the first 9 months, while our infrastructure businesses continued to grow at a double-digit pace. Finally, before we open the floor to questions, a word on shareholder remuneration. This is a key commitment we've made to shareholders again in the plan '24-'27. By the end of 2025, we will have given back close to EUR 1 billion to our shareholders, approximately EUR 400 million in dividends and approximately EUR 600 million in share buyback, the equivalent of roughly 12% of Eurazeo share capital. As a remember, we had bought back EUR 200 million of shares in 2024 and doubled our program to EUR 400 million in 2025. With the acceleration of the program this summer, we have already bought back EUR 300 million, and we'll buy the remaining EUR 100 million before the end of the year. Thank you very much for listening to this call. We can now open to Q&A questions.
Operator: [Operator Instructions] The next question comes from Oliver Carruthers from Goldman Sachs.
Oliver Carruthers: I've got 3 questions. The first question on the realization rate. Just would you be able to help us just get a sense of what hurdles you have to clear to get to around that 20% realization rate this year? It seems from the press release, you're in late-stage negotiations for a number of assets. Is there any sense you could give on this would be great. Just really just trying to get a read on how sensitive this number could be to external factors, regulatory approval, financing, et cetera. So that's the first question. The second question, at the half year, you said neutral to slightly negative value creation for the full year with the first half obviously being slightly negative. I know there's no formal revaluation updates today, but can you give us a sense of how the balance sheet investment portfolio is tracking relative to expectations from the summer? And if you can, is it reasonable to assume 2H at this stage is tracking to be at least flat? That's the second question. And then the final question on fundraising. It looks like a good update today and noted the more than EUR 4 billion commentary for the full year. It looks like more and more of your fundraising is coming from non-European investors that stepped up quite a bit this year and even in 3Q. And any color that you can give on what's attracting non-European investors to the Eurazeo platform? Is it a broader theme of capital allocation to Europe? Or are there some other things at play would be very helpful.
William Kadouch-Chassaing: Thank you very much, Oliver, for your questions. On realizations, we have several processes pertaining to different type of asset classes. So again, we are confident that we are able to trend towards our historical average. Now as you point out, there may be cases where there may be some delays between signing and realization. So, it's too early for me to tell you, given the fact that sometimes it requires some regulatory processes like CPK, we have to, of course, look through the hurdles of antitrust that was logical. And then we concluded in October. But expect that we will at least announce further deals through the end of the year and some of them will lead to realization soon after signing. Some of them may be realized slightly later. The portfolio, no, we don't reevaluate the portfolio every quarter, yet we do valuations of our funds on a quarterly basis for our clients. And we also have operational metrics, and we look at multiples and as they evolve. So, we have a sense of where it goes based on what we know, of course, we're missing -- we missed the last quarter of data points, but we already have a sense. So, we can confirm very firmly the guidance that we will be between 0 and slightly negative for the value of the on-balance sheet portfolio at the end of the year and which may lead to a neutral to slightly positive on the share count on the share basis given the share buyback. Fundraising, as you have seen, we reiterate the more than EUR 4 billion. We have good momentum across different asset classes. Your question pertains to our ability to grow internationally. Yes, there is a case that there is more LPs across the globe, not only in Asia, but in Asia, particularly in countries such as South Korea, Japan, Singapore, also China to Europe. This is also the case -- this is why I said it's not only Asia, in Canada, for example. But we, as you know, also have potential to expand in areas where we are already present, but not -- but have a potential to do more like in Middle East and in certain countries in Europe outside of our core home markets, if I may say so. We have France and generally Benelux, particularly Belgium and Luxembourg. So, there is a trend towards allocating more towards Europe. But I wouldn't say that Europe is just -- that Eurazeo is just suffering on the trend I think the main topic is that we have been able to position the company with a very differentiated value proposition. If you think about it, and you know very well the market of listed and non-listed companies, there is scarcity of platforms focused on mid-markets. And there is uniqueness in being a platform focused on European mid-market. At a time when the market is more and more polarized in the mindset of LPs, with LPs preferring to deal either with platform or some extremely differentiated monoliners with the rest of the industry being a bit more -- less attractive to LPs. We benefit from this. We benefit from being a platform with a unique positioning as a European mid-market/growth and impact-focused approach. And that's really what helps us in the marketing. People are confident with the stability and sustainability of the platform and what it can bring. And they understand very well that you can generate alpha and sometimes better alpha than in other regions in the world in European mid-market.
Operator: The next question comes from Alexander Gerard from CIC Market Solutions.
Alexandre Gérard: I have 2. My first question is related to the private debt fundraising year-to-date, which is down. How do you see the future regarding that asset class? And do you think that what happened in the U.S. with first brand and colors could more generally speaking, slow down the rate of fundraising in that asset class. So that's my first question. And the second question is regarding the gearing of the group. At the end of 2023, the gearing stood at 9%, which corresponded to EUR 0.8 billion in terms of net financial debt. And now the gearing has increased to 23% at EUR 1.6 billion. So how do you -- where do you see your gearing in 2027? And I mean, we have the feeling that you are returning cash to shareholders at a good rate, but maybe through a higher leverage. So where do you see your financial position going forward?
William Kadouch-Chassaing: Thank you very much, Alex, for your 3 questions. Let's start with private debt. We have a very, very good momentum in private debt. And when I say we have already reached the EUR 3 billion, it means that we are above where we're going to fundraise on EPD VII above target. That would make of Eurazeo the largest asset manager focusing on lower mid-market direct lending, which is an attractive category given the yields and the margins that we can generate in the industry. We also have a good momentum in the fundraising of our asset-based focused franchise. So, if you look at this franchise, just have in mind we continue to have a good momentum, and we think we are gaining share both in deployment and as well as fundraising in countries in terms of deployment where we were less present historically like the Nordics and the DACH region or Italy. And as a primary brand franchise, we, as a result, gained share with key large LPs, consultants distributing us across the group. So that music continues to go very well. Now to your point on the U.S., what's happening in the U.S. and the risk for the industry and for the franchise. Let me say, first of all, that we don't see any sign of weaknesses in our portfolio to date, i.e., the default rates continue to be very, very low. The default rates historically, and this continues to be the case, is about 20 basis points. It has increased a little marginally, but it is very low. And if you factor in that the recovery rate is 50%, then you have a de facto loss rate, which is very, very low. So that's a very important point because what you have seen in some cases in the U.S. is actual defaults. We haven't seen that in our portfolio for different reasons we can talk about. I would be cautious on extrapolating what's happening in the U.S. In a sense, it reminds me as an ex-banker, what happened in the securitization market, which exploded in the U.S. as a prime. In fact, the securitization market was very safe in Europe, and there's been some confusion here. So we are -- what we're seeing in the U.S. pertains to me more to a more relaxed, a loser regulation in terms of banking and insurance being able to buy CLOs and some direct lending assets which may be lack of proper framework and ending with some losses on their balance sheet, which is -- which raises the question in some minds as to the potential systemic risk. We are very, very far away from that in Europe. The restriction that is put on banks and interest to invest in these asset categories continues to be strictly supervised. And that's probably not a bad thing. So, I think we're talking about 2 different dynamics. The gearing. The gearing has increased but continues to be compatible with a quasi-investment grade or investment-grade category when we do our own sort of shadow rating, talking to banks and relevant bodies. Let me stress that 17% gearing. I'm talking about pro forma, the sales and exits announced in Q3 with CPP and UPD, it's a gearing that is very reasonable. And as you know, it does include close to EUR 200 million of debt at IMGP, which is totally nonrecourse. So, from a creditworthiness standpoint, the group remains very safe. That was not your question. The question is more going forward, what do we see towards 2027. And there you know the answer. The answer is that we see that gradually that gearing will reduce. And at some point, we will end up with excess cash on the balance sheet. Now excess cash before we distribute back money to our shareholders, which is what we've done. If you adjust the gearing to the EUR 1 billion, I mentioned before, you'll see that the company has virtually no gearing pertaining to its own operations. So that is something we monitor that idea that, number 1, gearing should always be well contained. In and of itself, I think some gearing is a good thing in reality. Fundamentally, the gearing will continue to go down through 2027. And 3, even with that approach, we should be able to continue to serve our shareholders through the share buybacks.
Operator: [Operator Instructions]
Unknown Executive: There is no other question on the line, I'm going to ask the questions that are the text that we've received. So, we already answered some of them. I will say David Cerdan from Kepler asks, how do you see 2026 for fundraising given the changes within the industry? And what are the initiatives on this for Eurazeo?
William Kadouch-Chassaing: Well, thank you, David. I don't know if you're on the line but at least thank you for your question. A bit too early to communicate to the market on 2026 fundraising. But as you may imagine we have a quite good view as to what would be on the road and what we can achieve in 2026. So, I'd say it's more to say. We consider that given the diverse product offering that we have linked to that good performance, in particular, in terms of distribution to clients, given what we said on the back of the question of Oliver regarding the appetite for European mid-market, we should continue to gain market share and pursue the place of having good fundraising and better fundraising than the rest of the market. Of course, it's absent a major crisis. It is assuming still sluggish and somewhat polarized market environment that we referred to. So that's all that I can say at this stage. Now we will come back to you with the pipeline, but we had already mentioned some of it. We will be full steam fundraising case in point for low or mid-market buyouts. That's a hot market. The previous vintage is running at more than 30% IRR, very good quartiles across all metrics. So that should be a success that goes into 2026. We will have the beginning of the full steam fundraising of our second vintage of infrastructure fund. As you know, the first infrastructure fund had fundraised much above its initial targets. The performance of the fund is very good. Hence, what I mentioned about the metrics that should be successful fundraising. And as a case in point, we will continue to fundraise on Growth Fund IV, which has done its first closing this year. Given the performance of the fund already and in spite of the fact that growth and venture more generally continues to be asset classes for which LP appetite is a bit more nuanced we should have momentum because that's quite a differentiated performance. And so forth, we'll have asset back on the road. Wealth, we should have the benefit of the new Evergreen funds launch. So, without going into what we're going to articulate when we publish our full year results with a detailed product offering that will be on the road, you can see that we feel confident we have enough to offer to the market and so more of the same.
Unknown Executive: Maybe we'll stay on the fundraising. A question from Isobel Hettrick from Bernstein Autonomous. She has a question on the buyout space, given the multiples that you have currently on Eurazeo Capital on IRR, MOIC and DPI and considering that it is now 4 years old, how are you thinking about fundraising for EC VI and the ability to attract third-party investors on this future funds?
William Kadouch-Chassaing: We think investors will look at EC IV, which is more mature funds. And then we look at EC V when EC V has enough maturity because beyond the vintage, you should look also at the pace of deployment. EC V is deployed roughly 50%. So, it doesn't have as of yet, the granularity and that would lead to a full meaningfulness of the metrics. So, if you look at EC V, we are in the good metrics, particularly on DPI and very decent in IRR and cash on cash. And we have good assets in EC V, but it's a bit too early to call given that some of them have been invested recently like Mapal, but also ERS and BMS have been invested fairly recently. So, they are good assets with strong operational metrics, but we have been quite prudent in remarking these assets over time. So, all that in a nutshell, will lead you rather towards 2027, maybe end of '26, but certainly more '27 for a full steam fundraising EC VI. So, we'll see how we perform at this time. But right now, we are very confident given the quality of EC IV and given the early metrics that we see within the portfolio of EC V.
Unknown Executive: So, we have one question from an investor that we will answer directly because it's pretty specific. And for the moment, I don't have any other question on the text line. If anybody has an overall question to ask, you can still raise your hand.
Operator: The next question comes from Alexander Gerard from CIC Market Solutions.
Alexandre Gérard: 2 follow-up questions on my side, please. The first one regarding the -- your corporate development opportunities. Can you maybe update us on that front? For example, you have a look at committed Advisors that has just been acquired by Wendel. Is secondary segment that is attractive to you? And going forward, where are your priorities if you were to strengthen your expertise through M&A? And secondly, at the time of the CMD, you had set also a goal in terms of improving your operating efficiency. Can we have an update on that? Can we have examples of what you did since November 2023 to make your -- improve your operating efficiency?
William Kadouch-Chassaing: Thank you. Well, it is true that for -- on the quarter, we don't update on IRAs and margin, but always good to remind us that we are committed to improve operating efficiency on the asset management. Regarding corporate development, I mean, we are at a stage where the industry is clearly being divided into large platforms with our own identified market. Again, Eurazeo as a platform, has a right to win as a leader in European mid-market, as we said. And monoliners,ome of them will continue to be very successful and some of them, quite a few of them may find difficult to continue the journey. And hence, there is a tendency to -- for people to try to find a home within the platform. So yes, we are having a number of discussions very often generated by people themselves who want to meet with us that we didn't have in the past. Does it mean that we want to do deals? Not necessarily. We consider that we have a strong strategic rationale in pursuing our organic growth. But as we said many times, there may be cases that may justify looking at M&A if that would help us speeding up the scaling of some of our strategies and acquiring new franchises, client franchises that we don't have. So of course, I will not comment more. I will not comment as to whether we've looked at committed advisers. But I will just remind you of the fact that our secondary franchise is bigger than the one that just acquired. And it's very successful as a franchise, both with LPs and with wealth, close to 50% of the fundraising of that secondary franchise is nurtured by our wealth channels. Secondary together with debt a category that you absolutely need to have if you want to develop successfully into the wealth market. And we also have a strong mandate franchise and fund franchise. So, it's more an organic journey, an expansion of the international footprint of that franchise that we're looking for. Operational metrics. So, this is not a topic for the 9 months. But as you know, we have already increased quite materially the operating leverage of the company. We added close to 500 basis points of margin between 2022 and 2024. What we said -- so we will continue -- so we already reached the bottom end of our mid-term target. You referred to the CMD. At the time, we had said between 35% and 40% FRE margin. So, we already crossed the bar of 35%. So, I'd say, as you can see, we are very focused on that. We continue to be focused on that, being mindful though that we are also a company that has significant growth opportunities. So, we've invested in strengthening our sales force. We have invested in some reinforcing of our investment strategies. So, you have to be also managing that growth opportunities because a lot of will come -- of the operational efficiency will be associated to our capacity to increase our revenues.
Unknown Executive: Maybe we have 5 more minutes. I will take the 2 questions that I have online. First, a question on AI, much on the topic. Do you perceive AI as an important game changer for your participations with middle- to long-term horizon? Can you comment on your strategy concerning the evolution linked to AI? And maybe just the other one, could we expect some IPOs in 2026 for some of the assets that are exposed to the balance sheet?
William Kadouch-Chassaing: AI is a very important topic for us. And it will require certainly more time than this call. So, I'll try to really summarize it. AI for us pertains to 3 things. Number one, are we as a company using what AI can offer. I'm talking about as an asset manager. The answer is we're going full speed in using AI in our middle back office conversal operations. We consider that everything we can automate. But beyond automate, we also use some -- we have some test using agentic AI. We also have training for the people in the firm, including CEOs as to how to prompt. So that's clearly a focus, and this is linked to the question of Alexander regarding operational efficiency. We also use it. We have quite a few experiences now that we've made to test the quality of it and the outcome for our investment processes. AI can be very forceful if you use it right, to generate analysis of deal flows as well as to process some basic analysis on numbers, projections, market data that's obviously quite efficient. And we always have a limit. The limit being that AI can't do something which we expect our good investors to do, which is to assess quality of management. And then there is the core of what we look at when we think about AI, which is how much opportunity to grow the companies we invest into AI can give or on the contrary, how much of disruption can AI cause in the companies we invest to, the companies we have invested into. It's very important to have in each of the franchises that we operate in investments, people focusing on that. So, we have operational partners very focused on that topic of assessing the opportunities and risk linked to AI. It is also very beneficial to be a company that is able to have investors in venture, in growth equities through buyouts and more mature company -- these people have a constant dialogue because when you are a buyout investor, talking to your colleagues in venture to see a few innovations that may lead to impacting the portfolio companies you're looking at is obviously extremely important. The same applies, by the way, to health care. The fact that we have in the same house people who do seed biotech or med-tech companies at the same time that we have buyout investors that invest in more mature health care company. If you manage to get the dialogue and we manage to have this dialogue between the teams, that's very forceful. So, AI is something that, of course, will be front and center for all the companies we invest into. Nobody will be unaffected. And there may be a case that there is some eating in the investment speed in the infrastructure of AI, but there is absolutely no doubt that AI will be front and center going forward. So, the answer is yes. And the second question was --
Unknown Executive: IPOs in '26.
William Kadouch-Chassaing: Don't expect IPOs in 2026 pertaining to our portfolios. Now what we observe is that the market of IPOs has improved in the U.S. There's been some improvement as well in Europe. And we have some companies, particularly in the growth portfolio that are getting more and more good cases for a potential IPO. But the timing of which, of course, we will not commit because we don't master the markets today. So '26 may be a bit too early.
Unknown Executive: As we have no further questions, I think it's time to end this call. The next step for us is on the 11th of March for our full year results. Thank you very much for attending this call, and have a nice day. Bye-bye.
William Kadouch-Chassaing: Thank you very much. Bye-bye.